Operator: Good day, and welcome to the Nomad Foods Fourth Quarter and Full Year 2017 Earnings Conference Call. Today's conference is being recorded. At this time, I would like to turn the conference over to Taposh Bari, Head of Investor Relations. Please go ahead sir.
Taposh Bari: Great, thank you. And thank you for joining us to review our fourth quarter 2017 earnings results. With me on the call today are Stefan Descheemaeker, our CEO, and Jason Ashton, our Interim CFO. Before we begin, I would like to draw your attention to the disclaimer here on slide two of our presentation. This conference call may make forward-looking statements that are based on our view of the company's prospects at this time. Actual results may differ to due to risks and uncertainties which are discussed in our press release, our filings with SEC, and this slide in our Investor Presentation, which does include cautionary language. We will also discuss non-IFRS financial measures during the call today, these non-IFRS financial measures should not be considered a replacement for, and should be read together with IFRS results. Users can find the IFRS to non-IFRS reconciliations within our earnings release as well as in the appendices at the end of this slide presentation that is available on our website. Finally, please note that certain financial information within this presentation does represent adjusted figures for both 2016, and 2017. All adjusted figures have been adjusted for exceptional items, restructuring, and transaction-related items, and that all comments from here on will refer to those adjusted figures. And with that, I will hand the call over to Stefan.
Stefan Descheemaeker: Thank you Taposh, and thank you, everyone, for joining us on the call today. 2017 was an outstanding year for the company, highlighted by organic revenue growth of 4%, 100 basis points of gross margin expansion and €237 million of adjusted free cash flow. These results which exceeded the guidance that we set at the start of the year reflects the strength of our iconic brands, relentless execution throughout the organization as well as our strategy. We ended the year on a high note with fourth quarter organic revenue growth of 5.6%, gross margin expansion of 350 basis points and adjusted EBITDA growth of 31%. Importantly, Q4 marked the fourth consecutive quarter of positive organic revenue growth and market share expansion for the company. Fourth quarter organic revenue growth was in line with the business expectations as we recently provided in January when we announced the acquisition of Goodfellas, but ahead of our initial guidance of 3% back in November. Upside versus the initial 3% outlook was driven by a combination of two factors; first, we experienced better than expected growth in December where the category accelerated to 4% and the U.K. and Germany performed at a very high level. And second, we had some shipments moving to December out of January in Germany due to the timing of some promotions versus a year ago. In Q4, we gained 0.2 percentage points of market share against low single digit category growth resulting in approximately 3.5% sellout growth for branded business. So 2017 was a pivotal year for Nomad Foods. In only the second full year as a pivot company, we achieved a number of our goals, which I’d like to spend a moment reviewing with you. First, we returned to the business to sustain our growth trajectory, driven by market share gains and broad based growth across most of our 13 geographies. As the market leader, we drive the frozen food category which grew approximately 2% for both, the year and the fourth quarter. We successfully ended the year with currency driven inflation in U.K. through a series of pricing actions which helped us drive 100 basis points of gross margin expansion for the year at the total company level. We co-define our core portfolio norm to many of you as Must Win Battles. Sales of our group grew 8% for the year, thanks to a series of strategic investments behind products, packaging and instore execution. We unleashed the power of our iconic Findus, Iglo and Birds Eye brands through increased media support, which we self funded through cost savings as our net A&P spend was up only 1% when excluding the effects of Forex. We attracted new customers while driving brands stores, greater sell of velocity and growth in base volume. We further developed our capabilities in net revenue management and supply chain which both contributed to improve gross margin in 2017 and will the play the important role in helping us drive M&A interim synergies and then see our long term target of 20% adjusted EBITDA margins. And finally, we actively managed our balance sheet by lowering our operating cost below 3%, fixing nearly two thirds of our interest rate exposure and extend our debt maturities until 2024. We set a number of important milestone in 2017, but are still very early in our multi-year journey of building a best-in-class food company. Turning to 2018, we will build on our momentum by continuing to focus on our core, while also mobilizing our innovation pipeline and playing an even greater role in driving frozen food category growth through increased focus and effort around corporate social responsibility. We will compliment strength in our legacy business with M&A once we close the Goodfella's Pizza acquisition. As you know Goodfella's represent our first acquisition in two years and opens the door into an attractive frozen Pizza category, which is the second largest European savory frozen category after sea food where we already enjoy number one market share ranking. Upon closing on transaction, our first priority will be to integrate this market leading brands into our U.K. and Ireland probations. As I already said, this business is expected to be immediately accretive to earnings and contribute between €22 million and €25 million of annual adjusted EBITDA within two years of closing or by the first half of 2020. We plan to deliver another year of consolidated top and bottom line growth in 2018. Importantly, the shape of this year P&L will be balanced and reflective of the ultra reason that we believe Nomad Foods can deliver sustainably over multi year periods. In 2018, we expect to deliver low, single digit organic revenue growth against the strong year ago revenue base. With the bonus [Indiscernible] the base, we expect EBITDA margin expansion to be greater this year versus last. Finally, we expect to incur fewer non-recurring cash charge that we experienced in 2017 even after the integration of Goodfella's. Our initial 2018 guidance calls for adjusted EBITDA for approximately €350 million to €360 million and adjusted EPS in the range of €1.08 to €1.13 per share. These figures include the expected benefit of Goodfellas’. This implies adjusted EBITDA growth in the high single-digit range and EPS growth of 10% at their respective midpoints. 2018 is off to a strong start with Q1 organic revenue growth expected to increase approximately 2%. This is despite a more modest category back drop during the months of January and the shipments phasing I mentioned at the start of this call. This performance is strongly within our low single digit guidance for the year and importantly validates our ability to sustain market share gains over a multiyear period as we lack strong comparison. And next, we are on pace to deliver another year of growth with good visibility into Q1 our seasonally largest quarter of the year. As most of you are aware, Samy Zekhout will join Nomad Foods as our permanent CFO next month, making Jason as Interim CFO since taking over the role seven months ago. And I would like to once again personally thank Jason for his significant contribution to a performance as well as excellent leadership throughout this transition. And with that, I will hand the call to Jason to give you the fourth quarter and full year results in more detail as our full year guidance 2018 guidance.
Jason Ashton: Thank you, Stefan. And thank you all for joining us on the call today. Fourth quarter reported revenue increased 4.7% with organic revenue growth up 5.6%. Organic revenue growth was driven by volume and mix growth of 3%, and pricing growth of 2.6%. Reported revenue growth was offset by approximately 90 basis points of FX translation. Slide Four illustrates the quarterly progression of our organic revenue growth showing positive momentum throughout 2017. As Stefan mentioned, we expect another year of organic revenue growth in 2018 with Q1 expected to be up approximately 3%, in line with our full year guidance of low single digit growth. On Slide Five, we show fourth quarter organic revenue trends across our three largest markets; the U.K., Italy, and Germany, as well as the remaining countries in our portfolio. There are a few call outs on this slide beginning with the U.K. We delivered a strong 9% growth rate in Q4 reflecting solid execution within the core favorable category growth and price increases. Germany posted another quarter of impressive growth, up 16% in Q4 with a three percentage points of growth validating from a shift into December onto January. After adjusting for this as well as some distribution gains from favorable year ago comps, Germany’s underlying growth remains among the strongest across the group and reflective of the teams impressive execution against the mature and competitive market. Turning to Slide Six, Q4 gross margins expanded 360 basis points, to 31.5% with mix, price, and promotions and cost of goods favorability contributing factors. Price and promotion which contributed to 170 basis points of gross margin expansion was primarily driven by net revenue management initiatives. Cost of good favorability which held gross margins 130 basis points was driven by the anniversary of operational issues in Sweden and an improved harvest versus Q4 of 2016. On Slide Seven I will review our operating performance during the fourth quarter. I will skip revenue and gross profit commentary which I just discussed in detail. Operating expenses increased 3% year-over-year, with more normalized indirect expenses and a more seasonally balanced A&P phasing creating offsets versus one another. Within operating expenses A&P declined 7% and indirects increased 8% year-on-year. As we previously discussed we reinstated bonuses in 2017 versus no bonus payment in 2016. This was the source of indirects growth during the fourth quarter. Resulting adjusted EBITDA was €82 million representing 16% of revenues. Adjusted EBITDA increased 31% year-over-year. Depreciation and amortization of €10 million declined to last year due to the closure of our factory in Sweden. Adjusted net financing costs were €14 million down 25% year-on-year reflecting improved costs of capital following the successful refinancing of our debt in early May and partial benefits from the debt repriced in December. The effective tax rate was 23% in line with previous quarters. Adjusted EPS was €0.27 to the quarter, an increase of 108%. This was due to 93% growth in adjusted profit and a 9% year-on-year reduction in our adjusted average share count. This excludes the Founder Preferred Dividend for this quarter given that it was issued on January the 2nd subsequent to the quarter end. Turning to Slide nine, which outlines our P&L performance for the full year 2017. For the full year, we realized organic revenue growth of 3.9%, which was offset by 1.9% from foreign exchange translation and 9.5% from the anniversary of the leap year, resulting in reported revenue growth of 1.5%. Gross profits grew 5% in euros equivalent to 100 basis points of gross margin expansion. Gross margin for the full year was driven by a combination of mix and price information which were partly offset by cost of goods inflation. Operating expenses increased 6% driven by a 9% increase in indirects due to the reinstatement of bonuses. A&P declined 1% on a reported basis, but increased 1% excluding currency translation. 2017 adjusted EBITDA increased 1% to €328 million. Growth would have been 13% when excluding the reinstatements of bonuses, foreign currency translation and the anniversary of the leap year. Full year adjusted diluted EPS increased 19% to €1 per share driven by EBITDA growth, lower depreciation and amortization, lower financing costs and a lower share count. Turning to cash flow on slide 10 for the year, we realized €237 million of adjusted free cash flow in 2017, ahead of our initial expectations such as the start of the year. The key drivers of free cash flow aside from EBITDA included working capital which showed an inflow of €33 million, which was partly driven by the absence of cash bonus payments in 2017 versus the prior year. Adjusted CapEx was €38 million or 3% of revenues. This excludes €4 million of non-recurring Findus Integration costs. Adjusted tax paid was €38 million reflecting 17% of our adjusted pre-tax income for the year. This excludes €39 million of payments related to the previously discussed settlement of one-time legacy tax matters. Adjusted net interest and other finance costs were €49 million reflecting the refinancing and repricing actions we undertook to strengthen our balance sheet throughout 2017. For the year, operating cash flow conversion of 99% exceeded our long term target of 90%. Partially offsetting adjusted free cash flow for the year were restructuring our non-recurring cash flows of €100 million for the year, which were in line with our expectations and driven largely by severance costs associated with the closure of production facilities in Sweden and further integration of the Findus Group where we are rolling out the Nomad ERP system. Turning to slide 11 and our initial 2018 guidance which is based on foreign exchange rates as of March 20, 2018 and inclusive of expected partial year contribution from Goodfellas’ which we expect to close in Q2. We expect organic revenue growth at a low single digit percentage rates, which assumes moderate category growth and continued market share expansion. Given the strength of the euro versus local currencies such as the Pound, Sterling, Swedish Krona, and Norwegian Krona, we expect foreign currency translation to offset organic revenue growth by approximately 60 basis points for the year and 90 basis points for the first quarter. We expect 2018 adjusted EBITDA to be approximately €350 million to €360 million, representing year-over-year growth in the high single digits range. Our guidance assumes another year of gross margin expansion for our legacy business, which we expect to be offset by approximately 100 basis points of mix from Goodfellas on an annualized basis due to its lower gross margin profile versus our legacy business. In summary for our legacy business, we expect the following; organic revenue growth in the low single digits range. Gross margin expansion driven by net revenue management and supply chain and a modest growth in operating expenses. Incremental to the performance of our legacy business will be a partial year of revenue contribution of approximately €90 million and EBITDA of approximately €10 million from the pending acquisition of Goodfellas. Goodfellas has a lower gross margin and to a lesser extent lower EBITDA margin as compared to the legacy business. That said, improving the profitability profile of Goodfellas, is a fundamental driver of our integration strategy for this acquisition. For the full year 2018, we expect adjusted EPS to be approximately 1.08 to €1.13 in euro terms, which assumes the current share counts of approximately €176 million and as [Indiscernible] before any impacts of potential future share repurchases or Founders Share dividends. That concludes our remarks. I will turn the session over to Q&A. Thank you, operator back to you.
Operator: Thank you sir. [Operator Instructions] Our first question today comes from Steve Strycula of UBS. Please go ahead.
Steve Strycula: Hi, good morning guys. Two quick questions from me. The first would be a point of clarification on the EBITDA guidance, so I want to make sure I heard it right. For the Goodfella's was that €10 million contribution for this year, will that be on a full annualized run rate instead of the eight months that you guys are going to have in the books this year?
Jason Ashton: The €10 million is for the transition all year as we close our [Indiscernible] in Q2.
Stefan Descheemaeker: We got to work in terms of full year.
Steve Strycula: Okay, got you. Thank you for that. And that as you released the organic sales, I know Stefan you called out that there was a little bit of a cease or sell in shipment benefit in the fourth quarter from Germany and that you guided for the first quarter to be roughly 2% but there was a shift, so extra ship is that right around 3% that would be my question and then can you give us a little bit of color commentary as to why the U.K. did so well in the quarter and then conversely speak to the slowdown that we saw in Italy? Thank you.
Stefan Descheemaeker: So let me step back for a second on the Q1 2%. Overall, we have really been, it’s a really great outcome. You have to think that obviously it’s on the back of a flat market, so you know the words, we are gaining market share, so it’s pretty much you know the same kind of trajectory as Q4, the only difference is obviously in on Q4, the industry was much higher for variety of reasons, one of them being obviously the shift in Germany. Then let's say back to the shift in Germany, you just have to think that at the end of the day, the 2% is a correct number including both the phasing and obviously Easter impact, I think one of the other to make it simple. And the 2% back to our bonus is very much in line with algorithm we have. Then if you go to the U.K. its very interesting, because indeed its really – when you see trajectory, Steve, you see that you know, its started with Italy and Germany, and Germany still in some sort of emerging market of trajectory at this stage. And U.K. took a bit more time. And you remember we said, yes, these are reason for this. One is we had the level of the ratio, the proportion of core category divided by total business is lower, and so the impact is very high per core category, but obviously on the global basis it takes more time. So that’s one thing. And second, we have for relative reasons, and obviously form [ph] being one is that we have to digest and the Jason explained this. We have to digest quite series of price increase which by definition takes a bit more time in terms of volume and value expansion. But overall it’s a great situation. And when you see behind the numbers, that’s very important, you see in definitely U.K. is the brand equity is doing well in the three countries. So the three countries obviously is -- the growth engines for the whole organization and we’re very pleased to see that the U.K. is now joining the other two. Did that answer your questions, Steve?
Steve Strycula: Yes. That was helpful. And do you comment on Italy in terms of like just to put there a little bit, I know you guys have had really strong comps there for a while, but I’ll pass it on after that? Thanks.
Stefan Descheemaeker: Yes. Italy, you know the categories as such especially in January and its coming back now. January was – the category was declining, so in negative territory, but one thing that hasn’t change is we keep obviously over time is we keep getting market share. So it’s doing well. So at the beginning of the year of the quarter was a bit difficult and now we’re getting back on track, very pleased.
Steve Strycula: Thanks. Great quarter.
Stefan Descheemaeker: Thank you.
Jason Ashton: Thanks, Steve.
Operator: We will now take a question from Brian Holland of Consumer Edge Research.
Brian Holland: Thanks. Good morning, gentlemen. First question, I guess I following up on Steve’s with respect to guidance and he probed Q1, but as I look to the balance of the year Q1 is obviously your easiest comp if you will, you know, as we go through the year they get progressively more challenging. So, if you could just you know whatever the highlights you’d like to point to where we can think about whether that’s innovation, whether that’s distribution gains, as we move through the balance of the year that's going to allow you to comp progressively or sequentially tougher numbers and still hit that low single digit organic growth?
Stefan Descheemaeker: Thanks, Brian. Indeed it’s obviously the whole story in 2018 is obviously growth and growth, that’s very simple. And we’re starting indeed with 20 with the few ones. When you think about it, it's really – this focus behind the core business, behind the core categories country by country, this is exactly what’s we been doing in 2017. And we’re not going deviate. I can tell you we have one of the success – one of the reasons of the success is its a some sort of let’s say obsessive very, very well aggressive [ph], very discipline implementation by the whole organization. The thing we’re going do now obviously we’re going to evolved, improved obviously the strategy behind obviously net revenue management moving to the next step, making sure that all three of the countries are moving to next step. You remember also that these were the first piece of the trajectory we really focus behind renovation. They will be starting to move back to innovation, big bets behind key categories and behind key trends and the frozen food category works well with the key trend, so – and that’s going to come, obviously in Q2, Q3, Q4, so this is kind of programs we’re going to activate further in the second part of the year, but obviously starting already in Q2. So yes, to your point it’s obviously they will come, are getting obviously more demand, which is the name of the game, but we look forward to making it work.
Brian Holland: Thanks. That’s helpful. If I move down to the EBITDA guidance that you provided for the year, I guess if you back out Goodfella’s, you’re kind of implying something close at the midpoint to about 5% EBITDA growth. Clearly in hindsight guiding a little bit conservatively on 2017 served you well and I think it make sense to guide appropriately, use appropriate conservatism as you guide going forward. But you know, I’m just asking within the context of mid-single digit EBITDA growth because if I think about 2016 to 2017 you’re obviously reinstated the bonus scheme in 2017, so that was a drag. So, if just back out Goodfella’s, is there anything else kind of important that would -- because I think you still have a lot of low hanging fruit to attack here, whether that’s the last of the Findus synergies, whether that's your network management initiatives, revenue management etcetera, is there anything in 2018 that would weigh on the margin on an organic basis that we should be thinking of that that would you know may be mid-single digits organic instead of high single digits?
Stefan Descheemaeker: No. I think you’re right, but let say, let me again pause and come back to what we said one month’s ago, less then one month’s ago in CAGNY. We said the model in frozen food which is a great category. The model for us to consolidate that the frozen food in Europe is very simple. It’s starting with low single-digit digit organic revenue growth, which is based on something like 1% plus natural trajectory of the category as such, plus market share increase. So that’s one piece. And from there obviously we’re going to make in the provision leverage work and that should lead us to the mid-single digit deductible. Then obviously on top of that the things like for example obviously but starting in 2019, obviously, but it gives not just any revenue synergies as we’re going to start to kick-in things like Findus for the improve the whole, but that’s the algorithm which is low single-digits more organic revenue growth translated into something like a mid single-digits organic revenue growth. I think there is nothing conservative, it’s just pragmatic and practical and realistic. And again back to our guidance, as we said, off to a good start, but also very early in the year.
Brian Holland: And last one from me. Forgive me if you address this in your prepared remarks and I missed it, but is there any guidance for 2018 free cash flow generation and then the extent to which restructuring and nonrecurring winds down it if there's a way to think about that? Thank you.
Jason Ashton: Yes. Sure. That’s – as you can see we didn’t give free cash flow guidance. And I guess, just stepping back our guidance practice is evolving to conform with that can you see that for the first time we are guiding to EPS. That’s said, we are expecting another strong year of free cash flow in 2018 with parameters that are very consistent with what we saw in 2017, starting with the goal, our strategic goal of free cash flow conversation of 90%. And also as you pointed out we’re expecting a meaningful decline in non-recurring cash charges in 2018 and we’re expecting in the region of 65 million of nonrecurring cost which includes integration from Goodfella's and remaining Findus’s integration cost. Did that answer your questions, Brian?
Brian Holland: Yes. That’s helpful. Thank you.
Operator: We now take a question from Bill Chappell of SunTrust. Please go ahead.
Bill Chappell: Thanks. Good morning.
Stefan Descheemaeker: Good morning.
Bill Chappell: I just want to follow-up on Goodfella's in the kind of commentary. Do you expect both on the gross margin, EBITDA you to get closer to company averages as we move this year. Is that really more of a 2019? And in longer term, is it the belief, I think you said, the gross margins were below but EBITDA margins weren’t that different. Is it a thought that the pizza category and Goodfella's in particular can be higher than corporate average? Or do you need to spend more money back in kind of marketing, advertising to kind of keep it going?
Jason Ashton: First of all, Goodfella's has a lower gross margin profile as we said in the remarks. Goodfella's is a strong brand, but has had a high level of promotional intensity over the last two years. And we very much believe applying the Iglo, the Nomad growth model and investments in media that we can drive our gross margins more to the legacy business. And in fact what we did in the U.K. with the margin profile there. It’s also fair to say, there is a percentage of that business which is an very efficient private label business which has a lower gross margin profile and lower SG&A. So the difference that EBITDA is much lower than the legacy business because of the lower SG&A cost, so it’s a fraction of the EBITDA margin than it is for gross margin.
Stefan Descheemaeker: But back to your point we’re going to do exactly what we did with the rest of the business, we’re going to apply old playbook. We going to reinvest behind the brands and then obviously you know then we’ll be in the position to play really the net revenue management program that we have in place. There’s obviously on the stronger brand. That’s the playbook we’ve played I think quite successfully in all the countries and we believe that’s Goodfella’s [Indiscernible].
Bill Chappell: I guess the last playbook took us about three years. I assume this is more of a 12 months type playbook?
Stefan Descheemaeker: We said two years starting from closing. Yes, two years.
Bill Chappell: Got it. So we shouldn’t expect any…
Stefan Descheemaeker: The first part is the reinvestments which is normal. And the second part is really then preparation is obviously net revenue management and gross margin expansion. But obviously we first need to make sure that the brand is strong enough and that’s what we’re doing, but its not three years.
Bill Chappell: Okay. And just in terms of a commodity outlook as we start the year and kind of where you stand and what type of headwind and tailwind that plays into your numbers?
Stefan Descheemaeker: Well, at this stage we are reasonably confident. We mean, overall in terms of commodities we’re reasonably confident absolutely, we don’t see – obviously there are some headwinds, tailwinds, but overall we have a pretty good view of where we stand.
Bill Chappell: So, nothing on fish and vegetables that we should worry about at this point?
Stefan Descheemaeker: No. It’s part of our program. That’s our job.
Bill Chappell: Got it. Thanks so much.
Jason Ashton: You’re welcome.
Operator: We will now come to a question from Rob Dickerson with Deutsche Bank.
Rob Dickerson: Great. Thank you. So back to the free cash flow for the year, there are no – as you said, you’re not giving official guidance, but at same time there's meaningful decline in restructuring costs. I know you had legacy tax, cash contribution this year, the refi, right, and kind of part of the largest story is going to been that the ability for that cash flow kind of uptick in 2018. So while I understand there maybe some upfront investment requirements in Goodfella’s? I’m also just curious on 2019 could there be other events such that you would allocate incremental cash, you have excess cash to not only just M&A but its a potential share repurchase activity as we saw in 2018? Thanks.
Jason Ashton: So, let me just – you’re right, and as I think we also – improve our supply chain, so that’s the one thing. And then in terms of obviously we’re proving in 2017 that we are doing the right thing in terms of value creation can be a share repurchase. That’s fine. And at the same time we also contemplating, we’re considering the different options to improve a footprint M&A wise. So it’s going to be -- as usual you know these are the right balance between both. We proving 2017 whether we can do it and we going to obviously, we’re going to be very mindful of value of shareholders, value creation between both share repurchase and obviously M&A.
Rob Dickerson: Okay, great. And then in terms of Goodfella’s, I think you everyone follows the company understands that frozen pizzas are is an incremental category for you. There seems to be this good opportunity for you to improve the overall profitability of the business with revenue management, and incremental upfront investments. But just kind of more generally do you see this is very clear path to share opportunity and I just say just in the U.K and Ireland because you don’t see innovation coming from competition or I think you spoke it before about this larger frozen pizza companies in Western Europe who maybe not haven’t allocated the right amount of attention or capital or A&P or what have to the category. So I guess, first assuming you can deploy your revenue management capability and skills you build up over all the years, is there other part that you really think leads this great opportunity in share gain? And then also category growth kind of in line with what you’re seeing in the rest of your portfolio? Then I’ll just past it on. Thanks.
Stefan Descheemaeker: Let me start this last part of your question, pizza actually is growing even faster than the rest of frozen food, so that’s pretty good. So it’s obviously a very good category from that’s standpoint. Back to your first part of the question, I would summarize by saying one thing, we are today, we are frozen food -- we have frozen food and we definitely believe that this company is going to better served, I mean, Goodfella’s being part of Nomad Foods, because we live and we think in terms of frozen food. And then on top of that Goodfella’s is going to obviously to be leverage, further leverage with obviously the footprint of BirdsEye, so the combination is really great and that’s kind of thing that you need to have in mind on top of this things like net revenue management and the rest of it. So think of number one, it’s a great category that is growing faster than the others. That’s one thing. Second, let’s say, Goodfella’s was part of the larger organization and not necessarily strategic and goal, definitely its goal for us, that’s a second piece. The third piece is no, it’s going to benefit of the large infrastructure of BirdsEye. And number four, yes we have demonstrated in the last two years with programs like net revenue management and brands building that we can obviously accelerate the top line. I think these are the key things we have to keep in mind when you think about Goodfella’s and the rest of the organization.
Rob Dickerson: Thank you, Stephan.
Operator: Our next question today comes from Adam Mizrahi of Berenberg. Please go ahead.
Adam Mizrahi: Hi, guys. Quick question firstly. What possible delay you expect at closing date for the Goodfella’s acquisition?
Stefan Descheemaeker: Okay. It’s very simple. Its number one, it’s a carve-out [ph], so as usual with carve-out it’s obviously a bit more complex. In the meantime the business is doing pretty well. So for us you know it doesn’t make any difference. We’re actively working with the sellers to make sure that the carve-out is going to be fine and as we go into in the original to oversee a good company, so nothing to worry about to make it simple.
Jason Ashton: But our teams are working very hard to finish that carve-out.
Adam Mizrahi: Great. And then you’ve talked already about Germany and Italy performance at the start of 2018. I’ll be interested to hear how you see the drivers of gross margin expansion different this year relative to last year as a geographic mix tailwind to gross margin from growth of these two countries in 2018?
Stefan Descheemaeker: As you quite rightly said, parts of the shareholder value algorithm is gross margin expansion and we expect gross margin expansion in 2018, but below 2017 and as you know in 2017, mix was a big tailwind, so we have these three legacy and Iglo markets growing very strongly and the activation of the Must Win Battles, and that growth will not be a strong in 2018 as we more normalized to low single digits.
Adam Mizrahi: Okay. And then if I could finish with the more thematic question. Are there any improvements you can make to own business to accelerate top line growth beyond low single digits? Or do you see that level of growth is conditional and across board improvements in the underlying savory frozen foods market?
Stefan Descheemaeker: When you think about the current algorithm to your point, Adam, if you starting from – low single digit revenue growth starting from 1% plus category as such, there is obviously so much you can do -- lot we can do in terms of market share improvement in terms of mix, but overall long term, yes, definitely we believe that there is something that more that we can do with the category. But as I said we haven’t change our message starting with CAGNY and even before, that’s a kind of thing that’s going to take a bit more time, because you have to change the consumer perception, but that’s our job. So you can imagine that so far that’s exactly our algorithm. And at some stage with the brand development, with the category development and by CSR, and we’re going to spend quite some – we’re going to invest behind these things. We’re going to be serious about it and it’s not going to be serious for one quarter or two quarters. Once we decided to do this, to improve the perception of a category you have to do that seriously, quarter after quarter after quarter. But definitely we believe that over time it’s going to really help the category to move to a higher level. And then we will talk at it later. We will talk. At this stage its low single digit organic revenue growth and if we do the job correct in the future nothing is excluded.
Adam Mizrahi: Right. That’s it from me. Thank you.
Operator: Ladies and gentlemen, we have time for one more question. That question will come from Jon Tanwanteng of CJS Securities.
Jon Tanwanteng: Good morning, gentlemen, how are doing.
Stefan Descheemaeker: Hi, Jon.
Jon Tanwanteng: How should we think of Goodfella’s from a strategic viewpoint? It sounds like it only has modest synergies with existing seafood business? Should we expected to be the only the first step of a bigger portion to the piece of category either on in organic or in-organic basis, just thoughts on that?
Stefan Descheemaeker: Let’s think of it in that way. The first, when you think about Goodfella’s, the first thing in the pragmatic way that you have to make it work. It’s a very strong number two player in U.K. a strong number player in Ireland. And we’re going to improve that part of the equation. That’s the first thing we have in mind. And that’s the part of our business plan. Then obviously and you obviously you have noticed as we mentioned that overall in Europe it’s a very interesting categories. It’s a number two category after seafood. And so, we’re going to learn a lot. I think there is a natural proximity between pizza and other frozen savory category like seafood, like vegetable then we will examine other things. But the first thing obviously let’s make it work, let’s learn a lot and then obviously there is a natural progression that will build that way.
Jon Tanwanteng: Okay, great. And just a broader M&A question. Why you are closing Goodfella’s? Have you paused looking at other acquisitions and if you haven’t what is the landscape look like out there from a valuation number of opportunities endpoint?
Stefan Descheemaeker: The answer is we haven’t paused. And the second part of the answer is obviously we not mentioned what that is by definition, but it’s very much in line with our criteria and obviously combined with our role as category leader.
Jon Tanwanteng: Got it. Would you use something in pizza more attractive relatively at this point or something more on your core seafood categories?
Stefan Descheemaeker: Everything is core, right, so let’s say frozen food is core.
Jon Tanwanteng: Great. Thank you very much.
Stefan Descheemaeker: You’re welcome.
Operator: That will conclude today question and answer session. I would now like to turn the call back to Mr. Stefan Descheemaeker for any additional or closing remarks.
Stefan Descheemaeker: Thank you, operator. Yes, we very pleased to have delivered, as I said a stellar year of performance in 2017 capped by this very strong foundation with another year of growth in 2018. We are off to a strong start in Q1 and look forward to updating you on our progress on our next call in May.
Operator: This concludes today’s call. Thank you for your participation, you may now disconnect.